Operator: Thank you for standing by. This is the conference operator. Welcome to the Cutera Inc. Fourth Quarter 2022 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] The discussion today includes forward-looking statements. These forward-looking statements reflect management's current forecast or expectation of current aspects of the company's future business including, but not limited to any financial guidance provided for modeling purposes. Forward-looking statements are based on current information that is, by its nature, dynamic and subject to change. Forward-looking statements include, among others, statements regarding financial guidance, regulatory approvals, productivity improvements and plans to introduce new products and expand into additional geographies. For words that identify forward-looking statements, we encourage you to refer to the safe harbor statement in our press release earlier today. All forward-looking statements are subject to risks and uncertainties, including those risk factors described in the section entitled Risk Factors in our Form 10-K, as filed with the Securities and Exchange Commission and updated in our Form 10-Q subsequently filed. Cutera also cautions you not to place undue reliance on forward-looking statements, which speak only as of the date they are made. Cutera undertakes no obligation to update publicly any forward-looking statements to reflect new information, events or circumstances or to reflect the occurrence of unanticipated events. Future results may differ materially from management's current expectations. In addition, we will discuss non-GAAP financial measures, including results on an adjusted basis. We believe these financial measures can facilitate a more complete analysis and greater transparency into Cutera's ongoing results of operations, particularly when comparing underlying results from period to period. Please refer to the reconciliation of GAAP to non-GAAP measures in our earnings release. These non-GAAP financial measures should be considered along with, but not as alternatives to the operating performance measures prescribed by GAAP. With that, I would like to turn the conference over to Dave Mowry, CEO of Cutera. Please, go ahead. 
Dave Mowry: Thank you, operator. Good afternoon and welcome to Cutera's fourth quarter and full year 2022 earnings call. We are glad that you can join us for this update. Rohan Seth, our Chief Financial Officer, is joining me on today's call. During the initial segment of the call, I will provide you with our view on the fourth quarter 2022 performance, as well as the underlying market fundamentals and other leading indicators of the health of our business. I will then pass the call to Rohan, who will provide you with greater detail on our financial results for both fourth quarter 2022 and full year 2022 periods, as well as share our initial full year 2023 financial guidance. Following Rohan's remarks, I will share our thoughts on the year ahead, the financial contributions of the AviClear product and the associated business transformation we anticipate delivering over the course of 2023. Following our prepared remarks, we will turn the call over to the operator, who will then open the call to your questions. With that being said, let's dive right in. As a starting point for the call, I'd like to put our full year 2022 performance into perspective. During 2022, our team delivered strong top line results with a mid-teens full year constant currency growth across the business, with contributions coming from each geography in almost every product category. This performance came in the face of macroeconomic pressures, wavering consumer confidence and material foreign exchange headwinds. Additionally, we successfully brought to market and scaled an innovative first-mover energy-based laser for the treatment of acne, which we believe increases our total addressable market by nearly 2.5-fold. The AviClear device is and will always be the first FDA-approved device for the treatment of mild, moderate and severe acne across all skin types. Most critically, the clinical outcomes in patient safety profile, from the signature procedure are unmatched. We remain convinced that this device will indeed change, the way that dermatologists see and treat acne.  Finally, we were able to see the green shoots of the financial transformation, we intend to deliver through the novel AviClear business model. By approaching the acne market with a unique placement-based approach to AviClear, we have established a true collaboration that tightly aligns our interests, with those of the clinicians and practice owners. In addition, to the transformation of our customer relationships, we also expect AviClear to energize top line migration to recurring revenues, expansion of gross margins, increased positive impact on EBITDA, greater linearity in our business and a significant change in the trajectory of cash generation for Cutera. I will provide additional commentary on the AviClear program, later in this discussion. Turning now to fourth quarter 2022 performance. While revenue was lower than expected, we overachieved our AviClear placement expectations, following its full North American launch announced in November of 2022. Top line shortfall in the period, was driven by a miss on the North American core capital equipment sales and to a lesser extent North American core consumable product sales. Both of which, were directly impacted by the extend in volume of AviClear activity in the period, as key account managers focused on promoting, placing and supporting the increased customer demand for AviClear. As previously disclosed, we are utilizing the same sales force to place AviClear, and sell our core capital equipment. In fourth quarter 2022, the North American capital team focused its efforts on driving AviClear bookings, and perhaps over-index some of their efforts. Following the full North American AviClear launch, strong underlying interest in AviClear, quickly converted into customer demand that occupied our sales team throughout November and most of December. The higher-than-anticipated volume of deals diverted much attention away, for routine processing of core capital deals and left a significantly shortened time frame, to close deals when sales reps finally pivoted back to their core capital pipeline. Based upon our experience, thus far with the AviClear launch, we believe that these efforts spent prospecting and closing AviClear deals, would have translated into advancing approximately 100 to 120 million core capital deals, which we estimate to have resulted in roughly $4 million to $5 million of core capital revenue, some of which may still be recovered over the course of 2023. We have already taken action to address the root cause of our capital revenue shortfall, in fourth quarter 2022. The underlying issues requiring attention are: Number one, sales rep activity and monitoring; and number two, sales commission and incentive structures. Following end-of-year close activities, we went to work with the North American sales leadership team, to understand these issues. And this has in turn, resulted in the construction and implementation of an uncapped, compensation program that rewards sales performance when it achieves goals in both the core, and AviClear segments. Additionally, we have implemented activity tracking utilizing Salesforce.com application, to help sales managers ensure that adequate time and attention, are being applied by each rep across both segments. While these repairs may seem obvious, these are management oversights and they do not reflect upon the skills or capabilities of our North American sales force. As you will hear later, in the discussion, the level of AviClear placements in the period confirms the quality and capabilities, of this exceptional sales team. Now with data in hand, we are actively reviewing the sales activity at senior levels within the organization, with the goal of leveraging this information to improve our sales processes. Meanwhile, our sales managers are delivering a strong accountability message, that efforts must be applied across both segments. Additionally, our internal staff is scaling its support to ensure that the capital sales team, can remain tightly focused on processing deals with their customers.  Before turning the call over to Rohan, I would like to share our view of the markets, as we look ahead to 2023. We believe that some macroeconomic headwinds are indeed present and that these will have an impact on our 2023 results. Nevertheless, we believe that these changes will not be long lasting as underlying market feedback continues to highlight steady patient traffic. Additionally, our routine assessment of activity levels indicates well-booked practice schedules, reinforcing our confidence in the continued resiliency that we have seen over the past six quarters. With AviClear now in full launch, we can leverage what we believe to be a more recession-resistant process and procedure to place products into areas that may be more impacted by macroeconomic factors. In the end, we expect to be able to leverage our core products, bolstered by some new product introductions in combination with AviClear to deliver above-market performance for the business. With that, let me turn the call over to Rohan to provide some additional color on our financial performance and our fiscal year 2023 outlook. Rohan?
Rohan Seth: Thank you, Dave. As I review my prepared remarks, I want to note that I will be discussing some non-GAAP results. A complete reconciliation of GAAP to non-GAAP is included in our earnings release. We encourage listeners and readers to review our non-GAAP metrics in conjunction with the GAAP results as contained in this earnings release. Total revenue for the fourth quarter was $67.4 million compared to $65.6 million for the same period in 2021 representing an increase of approximately 3% on an as-reported basis. During the quarter, we continued to face meaningful foreign currency headwinds and our constant currency revenue growth was approximately 10%. Fourth quarter North American capital equipment revenue of $25 million decreased by 13% in over the prior year. International capital equipment revenue for the fourth quarter was $17.4 million up 18% as reported and 27% in constant currency from the fourth quarter of 2021. Recurring revenue defined as our Consumables, Global Service, Skincare and AviClear product lines was $24.9 million in the fourth quarter up 13% as reported and 29% in constant currency. The increase over the prior year was largely driven by Skincare revenue of $11.8 million up 10% as reported and 37% in constant currency and the continued ramp of AviClear generating $3.2 million in revenue for the fourth quarter. This growth was partially offset by a decline in Consumable revenue, which came in at $4.2 million down 22% as reported and 18% on a constant currency basis driven by our clear account onboarding activities diverting the attention of our sales team away from core promotional events. Our service revenue grew slightly at 2% on a constant currency basis. Non-GAAP gross profit for the fourth quarter of fiscal 2022 was $40 million with a gross margin of 59.4% representing an increase of 30 basis points compared to the same period last year. Excluding a more than 210 basis point impact from foreign exchange headwinds, the non-GAAP gross margin in the fourth quarter would have been 61.5% an approximately 240 basis point improvement over the prior year. This was particularly impressive given the shortfall in North American capital revenue and highlights the transformation that AviClear is bringing to our business. Total non-GAAP operating expenses for the fourth quarter of 2022 were $39.7 million compared to $34.5 million for the same period last year. Included within this number are $6.7 million in expenses related to AviClear. Non-GAAP sales and marketing expenses for the fourth quarter of 2022 were $26 million compared to $22.3 million for the same period last year driven by continued expansion in our sales force, higher commissions and increased travel. Non-GAAP R&D expenses for the fourth quarter of 2022 were $5.5 million compared to $5.6 million for the same period last year. Non-GAAP G&A expenses for the fourth quarter of 2022 were $8.3 million compared to $6.6 million in the same period last year driven by expansion in our head count and an increase in our bad debt reserve due to an increase in aids receivables. This was driven mainly by the same sales force distraction that impacted core capital equipment sales. We expect this to largely be addressed over the next couple of quarters. For the fourth quarter of 2022, our non-GAAP operating income, which we refer to as adjusted EBITDA, was $0.2 million compared to $4.3 million in the prior year period, largely driven by FX headwinds of more than $3.4 million and costs associated with the full North American launch of AviClear. Finally, there were no material or significant changes to our tax position. Turning now to our balance sheet. We ended the quarter with $217.3 million of cash and marketable securities compared to $250.8 million at the end of the third quarter, driving the $66.5 million sequential increase or $91.4 million of net proceeds from our December convertible debt rate, partially offset by $24.9 million of cash utilization primarily driven by increased over deployment. Before I turn the call back over to Dave, I would like to provide you with our outlook for the full year of 2023. We are issuing constant currency revenue guidance of $277 million to $292 million, implying 10% to 16% constant currency growth over the prior year. At current foreign exchange rates, we expect to eclipse these headwinds exiting Q2 2023. We also expect adjusted EBITDA to be in the low single-digit millions with consistent sequential improvement as we progress through 2023. And we expect to continue to consume cash, primarily in the first half of 2023 as we continue to expand our AviClear footprint in the North American market with a projected cash consumption of $55 million to $65 million, greater than half of which will happen in Q1. By Q4 2023, we expect to achieve cash flow breakeven. As a reminder, our core business historically has consumed cash in Q1 and Q2 of the year. With that, I will now pass the call back over to Dave. 
Dave Mowry: Thank you, Rohan. As noted in our earnings release earlier today I was especially pleased in the period to see broad product acceptance of the AviClear device as well as the corresponding customer demand, enabling us to accelerate AviClear placements which exceeded 600 units for 2022. Our team's relentless focus on leading with clinical results, providing increased support for practice adoption, and ensuring the delivery of improved patient outcomes in less time with a reduced patient risk profile is indeed resonating within the dermatology markets as well as with patients. We expect to sustain a placement rate of 200 to 300 AviClear devices per quarter and exit 2023 and with greater than 1,500 AviClear devices in our active installed base. As part of our 2023 AviClear plans, we intend to increase our efforts in driving utilization with each practice. To-date, we have been prioritizing our efforts on placements to fully leverage the first-mover advantage we created through the execution of our product development, clinical, and regulatory functions. We also recognize that any incremental improvement in utilization applied across our growing installed base will deliver a profound revenue and profitability impact in the long-term and we have initiated a coordinated effort to drive patient traffic. These efforts will build over the course of 2023 and 2024 and include indication expansion, continued procedure optimization, and an expanded patient outreach and awareness campaign. The results of AviClear placements and utilization ramp will ultimately lead to higher quality financial contributions. The nature of these contributions will sustain improvements across key metrics such as an increased mix of recurring revenue, expanded gross margins, increased adjusted EBITDA, greater linearity and visibility in our business, and finally, sustainable positive cash flow exiting 2023. These desired state performance contributions and financial profile transformations are just around the corner as we continue to accelerate our AviClear program. Now, we will open the call to your questions. Operator? 
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] Our first question is from Jon Block with Stifel. Please go ahead.
Jon Block: Hey, guys. Thanks, good afternoon. I'll start with North American capital 4Q 2022 David, as you said it was difficult, you're making changes, right? You're augmenting the sales force, you're changing incentives. I think you have some new capital products but those are arguably later in the year. So I get that you don't like to give specific quarterly guidance but considering those changes and again the new products that I don't think are 1Q events, can you just help us out a little bit directionally on the thoughts of the waiting specific to capital if you would for 2023 as much – as many details you want to provide. And then I'll ask my follow-up. Thanks.
Dave Mowry: Yes. Thanks, Jon. And thank you for the question. Listen, I think the way to be thinking about capital in the first quarter of 2023 is just like every other year, this is generally the seasonally low quarter for capital placement and sales. And I think we would expect to see that again this quarter. I think that some of the deals that we maybe had in the pipeline may still continue to push through and we may see some artifact of those in the first quarter. But I'm actually thinking those will probably bleed out mostly over the first half and not just the first quarter. I do think that there is some degree of I'll say macroeconomic perceptions out there that have people hesitant, slightly hesitant. But I don't see any telltale signs that we think that patient spending will significantly be off or down. In fact our information continues to show good steady patient traffic at the majority of our customers. And we're not seeing anything that suggests that these things are long lasting but other than maybe just a near-term perception and concern of the customer. So while I think they may create a little bit of a shadow in the first quarter I think we'll outrun that quickly in terms of those concerns. And I think over the long-term, we would expect the capital in 2023 would follow a very similar seasonality than we've seen historically.
Jon Block: Okay. Got it. Thanks a lot. Very helpful. And maybe just to pivot my second question for AviClear. The system you said 200 to 300 per quarter is helpful. But not sure if you want to comment on a $30 million-ish revenue number for AviClear for 2023. And any thoughts just on cohort data do? I mean I know these things take a little while at around but approved in March. And maybe if you look at the 160 systems or so that were placed as of the end of September, how are those ramping from a utilization perspective? How long does it take to really get these things up and running? So really those two items the revenue number and anything from a cohort perspective that you're willing to comment on? Thanks.
Dave Mowry: Yes. Thanks, John. I think first of all it's most important that listeners are aware that depending on where the device placed it's placed, in which type of practice does have some impact on the speed of uptake, number one. But then secondarily on the sustainability of that volume. What we are seeing with med derms, in particular, is a much slower uptake upfront because of practice behaviors and it's tough to kind of reengineer and rewire the practice for something that doesn't take seven minutes, as I move from room to room in diagnosis. So being able to accept that into the practice takes a little bit more work. That being said, they're also very clinically driven and they want to see some results before they broadly adopt across their practice. So we see them slow to adopt further change but they have a lot of patients and they have the ability that once they get convinced to move to a more greater utilization in the longer-term. Contrast that with we'll say in aesthetic derm, they may have a couple of patients right now and is willing to maybe be a little bit more aggressive in the placement and use of the device. But they're not actively recruiting or sourcing patients for acne at quite the same rate that the med derm is. So we see them burning through some patients and then having low periods. So I think each are very different. But to answer your question, we certainly see that the aging of med derms in particular leads to higher utilization over an extended period of time of a couple of quarters. And we see that the aesthetic derms, once they get into the habit of recruiting and refilling if you will their patient pool they get to an established run rate as well. And those are both increasing over time. 
Jon Block: I'm sorry. And just the $30 million number that I threw out for AviClear just any thoughts around that? Thanks.
Dave Mowry: I was conveniently avoiding that, because we aren't giving AviClear financial guidance. But look, I think, there's a number out in the street. And I think we understand what that number is, and I don't think it is overwhelmingly scary to us. However, we know that we have our work cut out for us.
Jon Block: Thanks for your time guys.
Operator: The next question is from Margaret Kaczor with William Blair. Please go ahead.
Margaret Kaczor: Hey, good afternoon, everyone. Thanks for taking the question. I wanted to follow-up maybe on the series of adjustments that you guys talked to both on kind of the capital side, as well as on the KAM side improving quality lead submission structure, et cetera. So when did those changes get implemented? Can you give us any sense or metrics now that maybe you're a few weeks into these changes whether you think it's having traction or is it just going to take a little bit more time given kind of the weight of capital sales to the last month of the quarter?
Dave Mowry: Great. By the way, Margaret, thank you very much for the question. I would start by just saying that, there's two different elements that we have put in place. The first is an uncapped commission structure that significantly weighted towards performing well in both the avi segment as well as the core segment. And I think, that's generally going to have an immediate impact, and a more dramatic effect on people's use of their time and how they apply themselves over the period. So, I think that's probably a little bit more of an immediate change and probably get rolled out much more effectively in February as we had our national sales meeting. So I think that, that will have the desired effect on time and sharing time. The other element is actually monitoring time and attention of our sales reps, so that we can actually see what's the outcome and output of different processes, how many calls they're taking, how many meetings they're setting up et cetera, et cetera. And the intent is not to micromanage reps, but rather notice and identify patterns and coach to best practice, if you will with that data. And I think that's going to probably take a little bit more time to coalesce into process improvements and process changes. However, I think what we will see early is just kind of from the halt on effect of a manager looking at what's happening with their rep, they'll get probably a little bit more activity on certain areas that they want to have focus. So while I don't think we're going to see process improvements probably until really towards the end of this quarter early next quarter, I do think we may see some increased focus and attention being spent nonetheless. 
Margaret Kaczor: Okay. That's helpful. And I guess just to follow-up even further on that point. Obviously we've seen a big increase in all the accounts that's still increasing a lot this year. So how do you think about the number of sales reps and/or KAMs to make sure that these new avi accounts and frankly new Cutera accounts have a good experience. And I don't know if you can give it either in rep numbers or the number of touch points that some of these accounts end up having anything like that would be useful. Thank you.
Dave Mowry: Yeah. I think this is really interesting to talk about this. Fundamentally, we kind of outpaced ourselves in a little bit in the fourth quarter and early part of first quarter. But you'll notice that, we're kind of laying in into – in line a sustained rate of future placements. So this is not going to require us to add a significant amount of capital reps, although, we'll always have a churn, if you will for higher performers and better outcomes. I think what you're going to see is it will require some investment in some of the back-office operations and support for the field such as our field service engineers that do installations I think we will have to continue to scale our key account managers as we add new accounts and expand their roles. But I think that's where you're going to see the investments. I don't think you're going to see a significant amount of capital reps being added. But I think you'll see a few added, right? And we'll continue to expand with market growth, but I do think there's going to be an opportunity to continue to add great people to the team. And our intent will be to continue to upgrade the team and put the best players on the field.
Margaret Kaczor: Great. Thank you, guys.
Dave Mowry: All right.
Operator: Our next question is from Matt O'Brien with Piper Sandler. Please go ahead.
Sim Kaur: Hi. This is Sim on for Matt. We were just hoping you could help us with a little bit of the guidance for the year. So there's growth of roughly 13% for 2023. Can you think to how much of that you anticipate would be from AviClear.
Dave Mowry: By the way, thanks for the question, and please say hi to Matt for us. I would say, for the most part we're not breaking that out right now. We will be reporting by segment over the course of the year. So this will become more obvious as we kind of put more and more data out. It would be a little bit premature for us to get too far in front of this in the quarter, as we are kind of coming out of the fourth quarter where we over-indexed a little bit to AviClear. And some of the hangover from that probably will have some early effect on this quarter. So we're shifting as we go, and we really don't want to specifically lay out AviClear guidance as a stand-alone until we see the speed at which we can onboard these accounts and get them to a productive nature. So, I think we're going to hold back on that for the time being. I do think that there's a lot of people that have put out notes regarding a little bit of delays or overhang in the markets, regarding capital purchases due to interest rates and other things. And I don't think we're going to be inoculated from those items. But I do think our salespeople have a good pipeline and a line of sight to achieve their numbers. And they have certainly been able to deliver for us very, very successfully throughout 2022, and we anticipate that they'll be able to get back to that rate. So, without breaking apart, I do think that we'll see good performance from our team, and I think we'll see continued growth of AviClear as the installed base grows.
Sim Kaur: Great. Thank you.
Operator: The next question is from Greg Sellers with Stephens Inc. Please go ahead.
George Sellers: Hey. This is George. I just wanted to maybe start with gross margins. That outperformed our expectations in the quarter. So, just curious what the puts and takes there were? And maybe if this is a good starting point for us to model as we think about the next few quarters and years?
Dave Mowry: Hey, George. I knew it was George by the way. Listen, I think it starts by just -- we try to kind of hint towards this that we're seeing green shoots of the impact that we think will likely come from a continued growth and acceleration of the AviClear product. And I think you see that as you look at our non-GAAP constant currency growth that got to 61.5% gross margins. And I think there's probably a lot of people that probably remember us a year ago saying that we thought we could get up into the 60s. And I think this kind of shows that viability. But maybe I can let Rohan speak specifically to the puts and takes that got us to those numbers.
Rohan Seth: Yes. Thanks Dave. So I'd say, in addition to the year-end seasonal mix of high capital. The biggest put here simply was AviClear being over $3 million. We've been carrying some of those costs in the past couple of quarters. And now we're getting to the revenue lift off that we've been planning for a little bit. And I think as AviClear continues to scale, so well our P&L and margins and cash and the overall financial health of this company.
George Sellers: Okay. That's really helpful. And maybe switching gears here a little bit. The international systems revenue line put up another really strong quarter. So, could you just give us some color on what some of the drivers there are, and your expectations for next year?
Rohan Seth: I think before we get to that, Dave just reminded me, the biggest take over there obviously was FX and that's why there's a spread of almost 200 basis points between our non-GAAP margin and our constant currency margin, which crested 61%, which was particularly awesome.
Dave Mowry: Yes. Thanks, Rohan. Internationally, and I think this speaks a little bit to the fact that we don't believe there to be significant macroeconomic pressures. We think that there are some present. We think some of these are probably more perceived than real. And we do think that interest rates may be somewhat problematic in the U.S. temporarily. Those things being said, we saw a fairly decent performance in both Japan and in our InterContinental distribution markets. Australia kind of held their own. And Europe had kind of year-over-year growth as well although, it was somewhat stymied at the end of the year. And we expect more from Europe over the longer-term. But it was quite actually compelling to see the performance in Japan in particular knowing some of the challenges that they have gone through in terms of pricing and local economic environment. So I'd say capital was strong really in Japan and InterContinental and probably at or above expectations in Australia and Europe.
George Sellers: Okay. Great. Thank you all for the time this evening.
Operator: The next question is from Anthony Vendetti with Maxim Group. Please go ahead.
Anthony Vendetti: Yeah. Thank Dave. So just a couple of more follow-up questions on, AviClear, so 600 total, in 2022 that were placed, did you provide the number for the fourth quarter specifically?
Dave Mowry: I did not, Anthony. I didn't want to mix apples and oranges, frankly. We had talked about what the installed and active units were at the end of Q3 at 166. But what I wanted to do is get to a number that we can probably more regularly report on with accuracy being kind of the placements which are indeed just shipments. I will tell you this that, we saw a little bit over 600 total placements in the year. But I think that that probably doesn't fully disclosed the amount of demand and the customer interest that we continue to see which gave us great confidence in giving you the 200 to 300 per quarter coming through this year. So, I would tell you that, it's been overwhelming and very, very gratified to see that kind of demand from our customer base.
Anthony Vendetti: Okay. And then the, revenue generated from have AviClear, consisting of the treatment revenue and the device license fees was $3.2 million in the fourth quarter. And during that quarter there was $7.6 million in AviClear spending. Is that correct?
Dave Mowry: Yeah. I think, we're kind of moving through a point where the installed base is still small enough that it's not over-earning if you will the amount of cost to place devices. I think we expect that to cross over during 2023. And we've talked about being cash accretive exiting $23 million.
Anthony Vendetti: Cash accretive, cash flow breakeven, I think Rohan said, it in 3Q 2023. Is that the same thing for AviClear or is that AviClear is maybe a little bit later than that in 2023.
Rohan Seth: What I said was cash flow breakeven towards the end of 2023. And I can go back and look at my script specifically, but that guidance is not specific to...
Dave Mowry: Yeah, that was for the consolidated, right?
Rohan Seth: For the entire company.
Dave Mowry: Yeah. I think, what we've said historically Anthony is that, the core business has historically been a cash generator from us for us since we made some changes back in 2021. And we expect that that will continue. And it has indeed, partially funded some of the AviClear expenses. That being said, we think that as AviClear crosses over, you'll see kind of an accretive nature of cash being generated even before AviClear totally crosses over. But when it does cross over then it will accelerate even faster through the course of the end of fourth quarter into 2024.
Rohan Seth: Yeah, exactly. Just to clarify in my script I said by Q4 2023, Anthony.
Anthony Vendetti: Okay. Yeah. I wasn't sure, if I got that right. So Q4, Okay. And then, remind us what's in consumable product revenues? I know, it's some of the AviClear stuff but there's other things in there. And that fell off 18% in constant currency was that from the prior year? If so what are you -- what was the major reason for that. 
Dave Mowry : Yes. First of all, I want to be very clear. There's no AviClear revenue in our consumable product sales for core. What's in that product is the consumable products associated with our truBody line of products including truSculpt flex and truSculpt iD as well as the tips that we sell associated with the Secret PRO and the Secret RF. And finally, there are some consumable hand pieces that we distribute. So just to be clear that's what's in there. The lion's share of miss came in North America though. And like I said in my script that came as a result of kind of the number the vast number of accounts that we were trying to engage and onboard that we're receiving their AviClear product. With that many obviously placements or shipments, you had a lot of customers getting product. And we wanted to make sure that we were there to help them receive the product and do the training. So the net result of that was we did fewer promotional events, VIP nights or open houses at practices showing and demonstrating the truSculpt flex or iD or Secret product to the practices customer base. And the net result of not doing as many promotions, as we didn't sell as many consumables. So that's a staffing issue and a capacity issue that we've addressed, and we're expecting that we'll get back on that horse here in the first quarter. 
Anthony Vendetti : Okay. Great. And then lastly on I guess on AviClear there's now another FDA-approved product there out there. How do you look at how the difference between AviClear and that product? And do you feel like you -- if the goal is 200 to 300 placements per quarter? you have the sales force and the key account managers and the clinical support you need right now, or do you have to incrementally add to that or significantly add to that before the end of 2023. 
Dave Mowry : Look, I could take those in the order you offer them. First of all there is another product that's come to market that uses 17, 26-nanometer wavelength laser. And in some ways that it serves as a validation of the technology we have. However, they don't come close to duplicating the rest of our procedure. And I really rather not get into all the details there, but we're able to do this without anesthesia, without any adjunctive pain therapy on a very routine basis. And while there are always a subset a handful of people that may complaint or be discomforted that is less than a handful of those folks. So there's a very different risk profile, safety profile and even discomfort associated with this product that we have versus the competitive product. So while we see it to be a validation, I don't know if I necessarily see it as a competitive device number one. And number two, I certainly think that the ancillary programs and things that we've developed around patient financing, around the AviClear model that allows a no down, very low capital outlay of expense for the med derm in particular, an opportunity to give them a key account manager and support them. And then now the loyalty program that allows them a cooperative marketing investment in their practice to promote not only their practice, but also the device. So I think we've got a very broad moat of opportunities and support functions that our competitors can't offer. Finally, I guess I would say, from a staffing perspective, as I said earlier, we have probably a need to continue to add our key account managers as we scale and add new accounts and broader customers. But we do not necessarily need to add reps to our capital sales team to place these devices, since we've settled in on a number and a flat number if you will of how many we expect to place. So I think we're in good shape all the way around from our staffing. I think you'll see additional service and support investments over the course of the year as our installed base grows, but I don't think it will be necessarily in capital sales team. 
Anthony Vendetti : Okay. Great. I hop back in the queue. Thanks.
Dave Mowry : Okay.
Operator: Great. This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Mowry for any closing remarks. 
Dave Mowry : Thank you operator and thanks again for dialing in for our update. We are very bullish for 2023 with our focus evenly split between core business performance and AviClear acceleration. Our next update will come early May with our first quarter 2023 results and we look forward to updating you then. 
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.